Operator: Good day, ladies and gentlemen, and welcome to the Las Vegas Sands Second Quarter 2007 Earnings Call. My name is Jendy, and I'll be the coordinator for today. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's conference. (Operator Instructions). I would now like to turn your call over to Mr. Bill Weidner, President of Las Vegas Sands. Please proceed sir.
Bill Weidner: Thank you, Jendy, and good afternoon everyone, and thank you for your patience as we had many callers in the queue and wanted to wait a few minutes to allow them all to join us here at our conference. And thank you for joining us all here today. On the call with me today are Mr. Sheldon G. Adelson, our Chairman, he is on the line from Boston; Brad Stone, our Executive Vice President; Rob Goldstein, President of The Venetian here in Las Vegas; Scott Henry, Senior Vice President; Bob Rozek, Chief Financial Officer, and Dan Briggs, our Vice President of Investor Relations are all with me here in Las Vegas. Before we begin formally, I do need to remind you that today's conference call contains forward-looking statements that we're making under the Safe Harbor provisions of Federal securities laws. I would also like to caution you that the company's actual results could differ materially from the anticipated results in those forward-looking statements. Please see today's press release under the caption "forward-looking statements" for the discussion of the risks that may affect our results. In addition, as we may discuss adjusted EBITDA, adjusted net income, adjusted EPS and adjusted property EBITDAR, which are non-GAAP measures, a definition and reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded. By now, you should have all received our press release detailing our financial results for the second quarter of 2007. Once again, we're going to try to keep our prepared remarks relatively short today, beginning with some highlights for the quarter and then moving onto a few concluding thoughts and then we'll open for your questions. Second quarter consolidated adjusted EBITDAR came in at a second quarter record of nearly $200 million. That's about an 11% increase over second quarter of 2006. And Macao, the Sands delivered another strong quarter on the Macao Peninsula reaching another record quarterly gaming win. Our VIP and slots businesses both achieved record levels of drop and win, and our visitation numbers continue to increase. The mass business in the Macao market overall continues to enjoy a very healthy growth rate, over 30% for the quarter, as the market continues to grow in response to the high quality capacity being added to the marketplace on the Macao Peninsula. Second quarter revenue at the Sands Macao came in at an all-time record of $377.4 million, that's an increase of over 21% compared to the second quarter of 2006. Adjusted property EBITDAR for the Sands Macao came in at $116.6 million for the quarter, which is about the same as about one year ago. Our results at the Sands were burdened by approximately $11 million of expenses, primarily for junket commissions and labor costs that were incurred to position us against new competition and to assure a smooth opening at The Venetian Macao. Those extraordinary expenses will no longer burden the Sands once we open The Venetian Macao later this month. On the VIP market side, rolling volume was at an all-time record $7.3 billion in the quarter, up over 70% compared to the $4.3 billion in second quarter of 2006. Since the initiation of our program in 2005, our rolling volume now exceeds $40 billion and our hold percentage has been approximately 3% over that entire period. You will notice in our release that we have now changed our expected hold percentage to that 3% number to reflect our actual experience since initiation of the program and that huge volume of win that now informs our old percentage forecasts. The construction of The Venetian Macao, one of the largest buildings in the world at over 10.6 million square feet and featuring our 3,000 suite hotel, our Paiza club, convention exhibition space, 15,000 feet sports and entertainment arena, Macao's first mega mall and the world's largest casino, is essentially completed. The Cirque Theater, featuring an original Cirque production, will open in spring of 2008. We're now increasingly focusing our efforts on pre-opening activities, such as our recent sponsorship of The Venetian Macao Cup, which featured the Manchester United Football team playing the Shenzhen team in an exhibition match on July 23 at Macao Stadium. Manchester United football players like Ronaldo and Rooney were the first guests of The Venetian Macao, which will open to the public, as I mentioned before, on August 28. We intend to continue to partner with the world's most recognized sporting franchise, and we've signed an MOU to build the world's largest Manchester United store in the Grand Canal at The Venetian Macao. In October the NBA's Cleveland Cavaliers, featuring LeBron James, will play the Orlando Magic and the Magic will play the China national team. Both games will be played at The Venetian Macao's 15,000-seat arena. Both of these NBA games will broadcast throughout China and around the region, as was the Manchester United game. We also intend to partner with the NBA going forward as we will open an NBA store in Cotai Central, the nearly 800,000 square foot mall on the podium that bridges the Shangri-La Traders Hotel and the Sheridan St Regis Hotel Towers. These high profiling events are just the beginning of a series of activities and events that will help position The Venetian Macao as Asia's first true Las Vegas style multi-night stay destination resort. With respect to progress on the development of the Grand Canal Shoppes, and the adjoining mall at the Four Seasons Macao, we now have 522 tenants. Last quarter, we had about 450 that are under contract, and executed final leasing documents for over 313. Last quarter, we had 150 that actually executed leasing documents. Construction of the tenant fit out is progressing nicely as we expect to have over 100 stores and food and beverage outlets open at the grand opening on August 28, representing over 300,000 square feet. We expect another 350,000 square feet of Grand Canal Shoppes at The Venetian to open in November and the remaining 350,000 square feet is set to open in January 2008. The 211,000 square foot Four Seasons Macao, features some of the world's most prestigious fashion and luxury brands, including Armani, Cartier, Dior, Fendi, Gucci, Aramis, Prada, Zania and others, all of which will directly connect to the Grand Canal Shoppes at The Venetian Macao. The Four Seasons mall will open in spring of 2008. Our average base minimum rents for the Grand Canal Shoppes and the shops at the Four Seasons Macao continue to exceed $135 per square foot. Leasing incentives have been consistent both with our expectations and the premium luxury retail brands in Hong Kong. Moving on to our proposed development of a trade show and convention destination in Hengqin Island, our engineering, design and architecture teams continue extensive collaboration with the project coordination committee and their consultants. Zhuhai's and Guangdong province overall plan for the development of Hengqin Island, of which our plans are a component, has been submitted to the appropriate authorities and is currently being integrated into the overall plan for the development of Hengqin Island. We continue to enjoy support from all levels of the Chinese government, local officials in Zhuhai, and the provincial authorities in Guangdong province and await the continuing approval process. Back in Las Vegas, The Venetian continues to produce record results. Second quarter EBITDAR for The Venetian was $83.2 million, up 32% compared to the quarter one year ago. Average daily rate was $266. REVPAR was an all-time second quarter record of $268, up more than 11% compared to the second quarter of last year. REVPAR was $337 if group catering revenues were added to the room revenues and divided by available rooms. These outstanding results were achieved despite the loss of almost 17,000 room nights in the quarter due to our room renovation program, which has been timed to be completed before the opening of The Palazzo. Palazzo construction remains on time and on budget. We topped off the building in June. We've now finalized our plans to open Las Vegas's newest casino resort hotel to the public on December 20. To commemorate the opening of the shops at The Palazzo, which will be anchored by Barneys New York and will contain many of the world's most prestigious fashion retailers, we will be holding a grand opening weekend celebration for both The Palazzo and The Shoppes at The Palazzo beginning on Friday January 18, 2008. Our custom built theater, which will present the Broadway hit Jersey Boys, will be open later in the spring. Our retail leasing activity in The Palazzo Mall is going extremely well and is now nearing completion with rental rates consistent with our budgets and our expectations. In Singapore, our construction continues to advance at a steady pace. As we mentioned in our press release, we have now begun to accept indications of interest from retailers in our approximately 800,000 square foot mall The Shoppes at The Marina Bay Sands. And those indications of interest are far greater rents than any property in Singapore, reflecting the tremendous potential of this unique retail asset. We remain on track for an opening of The Marina Bay Sands in late 2009. In Bethlehem, Pennsylvania, the demolition, preservation, and refurbishment work on the industrial icons that will prominently be featured in the Sands Bethwork project is now nearing completion. The new order for the structural steel will be placed this month and erection of the structures begin next February. We recently submitted an application for final site plan approval with the city of Bethlehem and anticipate approval some time in September. With that, that concludes the highlights, but we want to end on a couple of notes here. We're clearly executing across the board. Before we go to the Q&A I'd like to summarize the enthusiasm we feel as a company and as a management team. First, the Las Vegas property is performing extremely well. And on December 20, we'll unleash the full power of our business model and to begin to capture the efficiencies manifested in our master plan by opening the 3068-suite Palazzo. The Palazzo is designed to extend our highly successful convention-based all-suite destination resort business model to capture corporate and group and trade show business as well as FIT room and food and beverage demand, and to leverage backup house efficiencies to deliver stronger margins. And, of course, specifically designed to appeal to our increasingly important high-end Asian customer. On the Macao Peninsula, Sands is also performing exceptionally well. We will add 238 rooms to the product mix of this building in September. The Sands is demonstrating its first mover advantage as Macao's first 21st Century casino, built right for the right market in the right location, right at the ferry terminal and on Avenue Amizade. It's easy to see, easy to get in and to get out of, with the right infrastructure, and it continues to do exceptionally well against wave upon wave of new products in Macao. But just four weeks from today, on August 28, we'll begin in earnest to realize the full potential of Macao's future, and lead the transformation of Macao's visitation from a gaming locale, primarily serving day trippers, to an international trade show and convention driven multi-night stay world-class resort destination. With the opening of The Venetian Macao, the anchor of the Cotai Strip, the incredibly strong market growth statistics clearly support the strategy to be along Macao and the trends within that growth. For example, more four and five star room all-night visitors to Macao, retail rents closer to those in Hong Kong than the old Macao, our advanced bookings of trade shows and conventions, and our tour operator contract commitments for Venetian Macao, all bode well as indicators that our long term strategy for the new Macao as Asia's premier trade show and convention-driven destination resort is right on. Additionally, we continue to develop millions of square feet of branded destination retail and vacation suite product on the Cotai Strip, while we aggressively advance our projects in Singapore, Bethlehem, Pennsylvania, and Hengqin Island. And we continue to pursue additional development opportunities around the world. So, we're clearly running full speed, but rest assured, as we move ahead our number one focus remains the same execution in operations, in development, and in the identification and aggressive pursuit of future opportunities. We remain confident that execution of those plans will produce tremendous results and industry leading returns. And with that opening statement, I would now ask the operator to open the line for any questions that you may have.
Operator: (Operator Instructions). And your first question will come from the line of Harry Curtis from J.P. Morgan.
Harry Curtis - J.P. Morgan: Afternoon guys.
Brad Stone: Good afternoon.
Bill Weidner: Hi, Harry.
Harry Curtis - J.P. Morgan: Couple of quick questions. I'm not in a place where I can get a copy of the press release and so when you mentioned the $116.6 of EBITDAR in Macao, was that before or after you back out the extraordinary expenses?
Bill Weidner: Before. So if you add -- I mean it would be $11 million higher if you add the extraordinary expenses back in.
Harry Curtis - J.P. Morgan: Okay. And then the hold, we calculated the hold impact as being about $3 to $4 million, the difference between the 3 and the 3.44%. Is that about right?
Bob Rozek: We actually forecast that just a little bit higher than that. And the way we do our formula is we take the win as a factual item, we then adjust the commission program at 1.1 for the additional volume we would have created had we held lower and won the same amount of money. And so it's probably more in the order of about $9 million. But then again when you add the $11 million back we're basically in the same price, about $116, $117 of EBITDAR.
Harry Curtis - J.P. Morgan: And then lastly, Bill you made some comments several weeks ago about how you thought occupancy might look at Venetian in October and it was a nice number, around 80% to 85%. Can you give us a sense of what the data is there behind it, and do you have any sense that the subsequent months are building in the same way?
Bill Weidner: Well, I mean I think the best way to look at our opening would be if we could we would have soft-opened the building. But the building is so big and so dramatic there's no such thing as soft opening, it will just be flooded. So, what we decided to do was open it full board on the 28, 29, in that range, we would expect the building to be fully occupied and chock-a-block. We intentionally backed off in accepting groups and things in September so that we could actually allow our employees to kind of learn their way around even though they'll be in the building. They've already checked the menu team in and out and actually served food and things so they are practicing. But in any large size opening like this you always have the deer in the headlights effect when 3000 rooms open. I know we've been kicking around these ideas that in the 5000-year history of Asia on the 29, more beds will be made, more breakfasts served, more hallways cleaned than ever in the history of Asia. So this is the biggest building, the biggest hotel there by far. But, anyway, we want to take time in September to actually kind of begin to understand how the different market segments contribute to the casino floor. The beauty of our overall business plan, as it is demonstrated here in Las Vegas, is that our convention business is something that can be tuned up and tuned down. FIT business, junket business, incented high-end play. And you really have to have several different knobs, if you will, to carry that analogy further in trying to orchestrate how you maximize your income. So, we want to use September as a way of looking at behavior on the floor of Asians that come to conventions -- behavior in terms of how the FIT customer behaves on the floor, how many rooms the junket rep operators are using within the building. And so that'll be our experimental month. Now, October is going to be a very strong convention and exhibition month and we have the NBA teams there. So a lot of occupancy in October is essentially driven by -- I think it's somewhere in the area 30%, 35% of our total room nights are spoken for by convention business at that time. Add to it the special events and then add to it what the junket reps are indicating they want for rooms, that doesn't leave a whole bunch of rooms, quite frankly, for the FIT market to run an 80%, 85% occupancy. So, we think October and November begin to actually demonstrate what the business plan will achieve. We then we get into December and December is kind of an interesting month. The beginning of the month is commercial I guess you would say. Then you get to the middle, the end of the month is Chinese new -- or Chinese, call it Christmastime. So, anyway, just a long-winded way of explaining how we're thinking how we'll orchestrate the opening. And by the time we get into call it December and January, I think we'll have a pretty good indication of how we want to dial up and dial down the various market segments as we get into next year. The building, I hate to overstate it, obviously you fall in love with your own children as soon as they're born but the building is dramatic. And I guess the captain of Manchester United, his name is Ryan Giggs, was quoted in London when he came back. They toured Asia, they went to all these different hotels. And his quote was this is, “I've stayed in many hotels all around the world because I'm with Manchester United, but never seen a hotel like this.” I think that reflects how people react and relate to the building. The building is the drama of what we experience here at the Venetian on steroids and in a place where people just haven't seen a building like it. So, I think we're going to get a very, very strong word-of-mouth result from the opening overall. I think the combination of the different market segments in dialing up and dialing down will allow us to learn as we go with the different segments we can address by what we've built into the building. So, that'll give you an outline of how we're thinking the opening might look like.
Harry Curtis - J.P. Morgan: One last follow-up, then I'll get off. If you had to hazard a guess on the mix of room nights that the junket reps would be accounting for, where would that be?
Bill Weidner: As much as a third. So you'll have some percentage of, call it, direct business, you'll have as much as a third junket business, as much as a third of your convention business and then there could be 15%, 20% that would be tour and travel and 15%, 20% depending upon midweek, week and FIT. That's kind of the way we would see it. But, again, I think we're going to be in the enviable position of trying to figure out how do we most efficiently allocate rooms. If we're right about the drama of the building and how this thing takes off. We want to be flexible enough to try to not lock ourselves into too much advance commitment of rooms where we can't adjust quickly to where we see the highest maximization model in terms of accommodation of room rates, food and beverage income, and casino income.
Harry Curtis - J.P. Morgan: That takes care of it for me. Thanks guys.
Bill Weidner: Thanks.
Operator: Your next question comes from the line of Steve Kent of Goldman Sachs.
Steve Kent - Goldman Sachs: Hi Bill, can you hear me?
Bill Weidner: Yes, Steve.
Steve Kent - Goldman Sachs: Hi Bill, just two things. One, on the new visa restrictions, can you just talk about how, if at all, they're impacting Sands Macao and how you think they might impact Venetian Macao. And then, also, are you on schedule, on track, to get that 40% of the retail open by August 28?
Bill Weidner: I don't know that what we said represented 40% of the retail. Depends on how you measure. I think 300,000 square feet relating to over a million, so it's 30% I think.
Brad Stone: I think a fair way to put it is that's about 25% larger than The Grand Canal Shoppes here in Las Vegas. So, it's a substantial presentation. St. Marks Square will be open, which is, of course, one of the major iconic parts of that, as will the Great Hall, which if you're familiar with Venetian is vital here and it's a spectularly more dramatic space than the one here in Las Vegas. So, Canal will be open, the St. Marks Square will be open. So from a traction value it should be pretty spectacular. And our goal is to get more than the 100 tenants we're talking about. We're pushing for that and I believe we have a reasonable chance of opening with a few more than we're stating currently.
Bill Weidner: To address the IVS scheme. I think the way to look at it, the IVS scheme is a China-wide phenomenon. It addresses several provinces in about 30 major cities. The IVS system is largely unchanged. The primary focus of these changes for the IVS system relates directly to more the frequent local visitor out of Guangdong province. And the two aspects of that are primarily -- are that, there used to be a business visa granted to businessmen in the Pearl River Delta for as many visits as they want for a year. Can you hear me? Steve, you still with us? Hello.
Operator: Okay. I do apologize. We will go to our next question and that will be from Joe Greff.
Bill Weidner: Okay, I guess I probably should finish Steve's question I guess, right.
Brad Stone: We lost Steve, but Bill's going to finish that question.
Bill Weidner: All right, to the best I can. Now the multi-visit business visa is granted on a quarterly basis, so businessmen still can come to Macao multiple times but they have to apply four times a year for those multi-visits. The second primary effect was the dual visa. That is you could go to Hong Kong and take a side trip to Macao without having a second visa. Now you have to apply for both Hong Kong and Macao separately, but you can still go to Hong Kong and Macao you just have to go through the process twice. The waiting period is a little bit longer also. So, basically what it’s doing is, I'll call it, discouraging local day trip visits to Macao and encouraging longer term visits to Macao. And the IVS scheme, according to the folks that are involved with it that I've talked to directly, was beginning of the summertime did not have the gates as blocked up with short-term visitors to open it up to have long-term visitors that are probably more valuable than the locals. So, in my conversations with members of mainland Chinese government, they're indicating, number one, they want to make sure that the convention visitor is not affected by the IVS scheme so they've asked us to suggest to them how we make sure that that doesn't affect our convention business, and asked us for our reaction or response to their modifications to the IVS scheme. I think everybody will be trying to tweak and dial and figure out what the highest and best value of visitor to Macao is. So, anyway that's a long-winded way of discussing the IVS scheme. We are seeing some effects at the Sands. We're seeing some effects in the marketplace in terms of the mix of business from mainland China versus Hong Kong and other places. I would imagine with the opening of the Venetian Macao I think we'll see that mix change further where we'll see more people from Japan and Korea, Thailand and Taiwan and other places. I would expect the visitation to mainland China to continue to grow, perhaps not at the same pace of the local visitation, but a greater pace of visitation through IVS schemes from places like Dalion and Changchun and Beijing and Shanghai and places further away. I would expect that the IVS system will be tweaked now and then as mainland China figures out the best way to be able to control social issues, as well as make sure that Macao continues its ability to grow and prosper.
Joe Greff - Bear Stearns: Okay, can I ask a question now? This is Joe Greff. Two quick questions, I guess both for you, Bill. For Venetian Macao, as you look into '08, you touched upon good advance bookings related to convention rooms. Can you just remind us in terms of room nights sold for next year what percentage do you think goes to the MICE business. And maybe you can talk about it in relation to capacity utilization for the square footage for the convention space? And then my second question relates to Hengqin. I know you had some language in the press release and maybe you can just talk a little bit how those discussions are going, how extensive those discussions are going, and whether or not the timing is being impacted by the Olympics in Beijing and whether or not you can sort of put it in any timeline fashion? I know that's difficult. Thank you.
Bill Weidner: Two questions, I mean I guess the first one was utilization of convention space relative to room nights. We don't necessarily think all that much in those terms. I mean our convention space and our exhibition space is part of that process of tweaking different market segments to maximize income. So, I think if you think of our convention space as the way of being able to drive occupancy when we need it or want it, we don't think in terms of gee, I want to reach 100% occupancy in my convention space because then I'll maximize my income by squeezing out more valuable profit segments. So, we don't think of maximization of utilization of space, we think of what seasons and what days of the week do we need occupancy and how do we maximize the income out of that occupancy. So, I would imagine that we'd be looking at convention space somewhere between 20% and 30% of room nights. That's probably where we'll be. And we hope to reach more like 20% simply because if the junket room nights and the FIT rooms nights are more valuable on the casino floor and from the rooms themselves, we're happy to have convention space available to fill all the rooms because we'll be opening Four Seasons. We'll be opening St. Regis and other places. And now the exhibition space as built in phase one is oversized relative to The Venetian because it's intended to incent room rates and room nights throughout the strip, the Cotai Strip. The second question related to--
Brad Stone: Hengqin.
Bill Weidner: Okay. Look, all we've been told is to be patient, is that we are doing the right things, we've positioned ourselves and have worked very closely with them. As I mentioned before, Hengqin Island is a special district and they realize the importance of Hengqin Island. Hengqin Island is three and a half times the size of Macao. It has one foot in Zhuhai, one foot in Macao, and one foot in Guangdong province as it relates to the region. So this is China and in China things move along in a collegial, cooperative, input laden way. And so there are economists, there are environmentalists, there are city planners, and all those type of people that sit on our committee. So all they're telling us is to not be discouraged but to be patient. And I don't think it has anything to do that much with the Olympics. I think it has more to do with them trying to figure out given the historic rapid increase in the economy of Macao, the strength of the Hong Kong economy, the strength of the Pearl River Delta in terms of exports, how will they maximize the value of Hengqin Island land and how our proposal relates to the overall economic development of the Pearl River Delta. So, they say, we like what you're doing, we appreciate your planning process, be patient.
Joe Greff - Bear Stearns: Thank you.
Operator: Your next question comes from the line of Larry Klatzkin of Jefferies.
Larry Klatzkin - Jefferies: Hi guys. Looks like things are moving along right on plan. A couple of questions. One, busing. With the size of what you're opening, what are your busing plans as far as getting the mass market customers into your property as you open?
Brad Stone: Well, Larry, we just -- we're in the process of taking delivery of about 85 buses that we ordered from Europe. They're various sizes, 45 passenger, 35 passenger, and 25 passenger. And that is above and beyond what we already have in the area of about 25 to 30 buses. Those buses will be deployed with various border gates. Obviously, the border gate at the Lotus Bridge is a very quick commute into The Venetian property. The HKIA ferry terminal, which will be developed, is also very quick from there. And then, of course, we'll be at the Kung Bay Gate and the ferry terminal. So we have made sure that we have a presence, a large presence, of multiple sized buses, all brand new beautiful buses, leather seating, air-conditioned, et cetera. And we view the busing that we're creating to be our front door. When they get off that ferry or they go through the gate we want to make sure that we have a very strong presence, that we have ample capability to get people to the property. And we believe that that along with, we're purchasing a number of limousine/taxis, that we have good inflow from the border crossings into the property.
Larry Klatzkin - Jefferies: Are you also working with companies to bus people from throughout China to the border gates?
Brad Stone: Yes, we're working very strongly. We have a gentleman name Steven Webster who is our VP of basically consumer marketing. He came out of both Atlantic City and came out of properties down in Mississippi and was involved in all the busing programs in those markets. And we're working with many operators in China. We've thrown them out and considered buying our own buses and entering into management agreements similar to what we're doing with the ferries. I mean, we're buying ferries, then we're going to have a third party operate those ferries for us. We may take a similar approach or attempt to take a similar approach with busing from the particularly Guangdong province to the border gates themselves to ensure that we have capacity coming to the borders, that it's directed towards our property. So, we're currently exploring that option as well.
Larry Klatzkin - Jefferies: All right. As far as convention meetings going, what kind of number do you have scheduled in October through December of this year?
Bill Weidner: What's that, the number of meetings or--?
Larry Klatzkin - Jefferies: Yes, convention meetings you have scheduled at the convention center.
Bill Weidner: I don't know the exact number. I know it represents about 30% of our occupancy October, November.
Larry Klatzkin - Jefferies: Can you comment on Japan with the change in government? Does that make things slower or faster?
Bill Weidner: I guess the answer is I don't know because the LDP that we've been working with for over a year or the entity that were involved in the study group, the cycle know that are her people. The opposition has not taken a position for or against the exploration of gaming. I don't know that it's taken on a political bent. Clearly if the leadership changes that would mean delay because the opposition have to get its arms around the same study done by the LDP. These were interim elections so they were in the upper house as opposed to the lower house. While it does not necessarily bode well in the overall general election or the next election cycle. It doesn't mean that the LDP is over. So, I mean we continue to work with them. We are going to have dozens and dozens of LDP members that will be touring our building as we open, and the study committee itself as well as its advisors will be there for the opening. So I mean our thought is just position ourselves well, build these buildings well, open them well, and as Japan observes what we do, put ourselves in a position to be the developer and operator of choice. Whether it happens in 2008 or 2010 or 2011, it's a market that we want to be well positioned in and we think this opening will help us do so.
Larry Klatzkin - Jefferies: That's a good answer. And then last question, some of your competitors have said that there's a commission war going on and commissions have ramped up. Could you respond to that because I've heard mixed on that?
Bill Weidner: Well, I'll tell you the report in the newspaper is wrong. We're reducing commissions because we can. We have the hammer with the opening of The Venetian and the Venetian is the product of choice. And we have a waiting list of junket reps at a reduced commission rate. It is now time to leverage changes from little VIP rooms with guys that run around serving customers, to customers making choices about better quality places. And so we think the leverage changes with the opening of Venetian and while we appreciate our junket room partners as it were, or the developers of our junket room business, what's fair is fair and we think that the junket room rate that we've identified is fair for the billions of dollars we've invested in product. So, the rumors that we're increasing junket commissions is absolutely wrong.
Larry Klatzkin - Jefferies: Excellent. Well, thank you very much, that's good news.
Operator: Your next question comes from the line of Robin Farley of UBS.
Robin Farley - UBS: Thanks. Just wanted to clarify a couple of things. First, can just clarify if all 3,000 rooms at The Venetian be open on August 28? And then also, I just want to square your comment talking about The Venetian opening allowing you to cut commissions with kind of what you talked about on the release about the Sands and the junket retention program. And then lastly, I know you talked a bit about the visa restrictions already. Can you help us sort of quantify a little bit or how to think about when you look at the sort of sequential change in your mass market drop, how much of that was due to the visa restrictions versus just new competition in the market? Just to help us understand that better. Thanks.
Brad Stone: To answer the first question, it's our plan to have all 3000 rooms open at the 28. Obviously, when you open these buildings the top suites are the last ones to do but I toured those last week and I think we're in excellent shape and I would expect that 100% of the product will be open on the 28 of August. The second question in terms of squaring the commission situation, I mean we're going to be at a 1.1 commission, we've already communicated that. Currently for the quarter, we came in about 1.13% at the Sands. As you know, we've had this junket retention program. The deal right from the beginning was that junket retention program was to carry us through and establish a base of junket business, which I think we've done and proven. We paid a little bit for that because we were, let's say, product deficient in terms of particularly the room product at the Sands. What happens at this end of this month and the beginning of the next month is two things. One, we obviously open The Venetian, but again we also open 240 spectacular guest rooms, all suite product at the Sands itself. At that point in time, just like we said to the junket reps when we put this program in place roughly a year ago, the commission program goes back to a 1.1. We believe that what happens to the junket rep is while they may make less per customer, both facilities allow the junket rep to expand their business significantly. Currently, if you're a junket rep at the Sands you're lucky if you get five rooms a night. We'll now be in a position to give them probably 40 or 50 rooms a night because the Sands will be almost entirely junket driven in terms of issuing product. Obviously The Venetian, with its 3000 rooms, spectacular suites and other assets, we'll be able again to help those junket reps grow their networks and their business. So there's going to be a bit of a trade-off for our junket reps. They will make less per person but what they'll do is they'll be able to expand significantly in their base. And I think people sometimes question how we feel we can cut a commission and still maintain our business and save this money. It's our belief that we're only going to grow our business with more asset available for these junket reps. And at the end of the day, they'll make more money, but so will we as we improve our margins but we give them an opportunity to grow their business with asset that supports that. The third question was --?
Robin Farley - UBS: About the visa restrictions, the sequential change in the mass market drop.
Brad Stone: Well, maybe we'll do two things here, I'll answer part of the question because I think that when you look at the drop in our business, a substantial part of the loss of our mass business has been at the hot -- unfortunately the mass business is almost defined as everything but rolling chip. So it's kind of a misnomer. There are people that are betting HKD100 and there are people betting HKD5000 and they're both considered mass customers if they're not on a rolling chip program. One of the things that we have seen since new product has come on board, particularly new product that has rooms associated with it, we've lost some of that what I call the high-end portion of our mass business. That portion is down about 30%, whereas the mass part is only down about 5%. Again, I think the good news for us is as we open the room product we will be in a position at the Sands to recapture some of that business. And again, like from day one, The Venetian will be very strong against that premium customer. I mean, this is a customer who doesn't come on a rolling program, who we have been a little bit hindered by not having an asset that we can offer them like the restaurant comp. So I think on a macro sense, a lot of where we have lost some business it's been at the premium side. I'm not sure that's necessary IVS as much as it is other people having product that we didn't have and I'll let Bill discuss the macro dynamics of the IVS and that business.
Bill Weidner: Well, I think the second thing you talked about was the new competition in the marketplace. I think that's shown by our headcounts being up but what I think what happens is the more things there are to see and do the more people perhaps share their visit with more than one place. And the difference between new capacity and quality new capacity is the higher the quality of the new capacity, the more lucky-loop process that there is. So, I think it's expected that the dilution of per table win would be in place as a bunch of tables are thrown in the marketplace. I think you'll see two things in the future. I think you'll see a consistently quality will out. People may leave, may look at new places. But at the end of the day the place that they're most comfortable in and the place that gives them the best quality of service for their mass visit will win the higher share. And secondly, I think you'll probably see some tables disappearing from the marketplace as things calm down and certain competitors aren't able to compete. So I think that The Venetian will have an interesting effect overall because I think we'll change now I'll call it the epicenter of what Macao is because Venetian will begin to balance the visitation from the peninsula to the Cotai Strip. And particularly as the new Pac On ferry terminal offers an alternative, preferably a better alternative, to the current ferry terminal, where people can cruise directly either from the airport or from Hong Kong or Shenzhen or whatever. Or even from Zhuhai, to be able to avoid the lines at the current Kong Bay border gate with a 15 minute ride, then a ferry to Pac On terminal and be at Cotai will change the dynamic of the mass visitation of the marketplace. So I think the combination of new product that will drive more visitors, new visitors, from further away, the fact that that visitor more than likely will visit more than one place, and the most attractive place for the mass visitor, places for the mass visitor will win more than their fair share, I think it's fairly easy to see what that dynamic looks like. What it doesn't bode well for are the me-too poorly positioned, poorly financed operators that have come into the market more recently. So, I think as we've seen some VIP rooms close I think you'll see some of those places that are poorly executed mass places will not perform well.
Robin Farley - UBS: Okay great, that's all very helpful.
Operator: Your next question comes from the line of Celeste Brown of Morgan Stanley.
Celeste Brown - Morgan Stanley: Hi guys, good afternoon. So, a couple of questions on the VIP business. First, can you give us a percentage of your business that's none Chinese, I guess the rest of Asia. And then I guess your estimate on how deep that market is. I think we've all been surprised by how fast the VIP has grown this year. And Brad and Bill you both commented on your ability to pay a lower commission rate at The Venetian because it's better. Do you think you can cut it from the 1.1% if there's enough demand?
Brad Stone: Well, I think we'd want to start very carefully on that. We've made arrangements with our junket reps, we've communicated the 1.1%. I mean that's always a possibility. I think that there are probably going to be people in the marketplace quite frankly that react by upping their junket rates because they're going to need to try and attract business. So it may not put us in a position. The one thing we want to work on, and I think we're going to be in a much better position again with room product, is to attract direct play to the property without losing junket reps and that is a lower commission basis to start with because we're bringing those people, we aren't using a middleman. Again, that's primarily in regions that we have the ability to extend credit like Hong Kong and Thailand or Taiwan, et cetera. So we expect to see an increase in that business which, in a sense, will bring down the overall mix from the maximum of 1.1% as we bring in our own directly marketed to customers of The Venetian asset on board. I'm sorry the other question --
Bill Weidner: I think just to chime in on that. I mean at the current elevated rate of junket commissions with the current retention program in place, we're running reasonable margins against the junket play. Our experience is 20% plus. So, there's an argument that if someone really wanted to fundamentally change the market to someone like us, well capitalized, lots of mass play, plenty of cash flow, there's an argument to say increase commissions and squeeze everybody else out. And, quite frankly, the process has, to a certain extent, taken place. But I think we feel that we can achieve a fair margin against that play and that the junket rep operator will be sufficiently incented to go find new business. So, the combination of that balance with the, call it, the quality of support that Brad talked about that junket operators will have that they've never had before in terms of the kinds of experiences, the kinds of physical product, the amount of physical product, and the sense and feel of a real Las Vegas style destination will help us to do that. I guess you would say affect the marketplace without increasing commissions with a combination of physical product and their ability to draw new customers and a fair margin for us as well as incentives for them is balanced at the new junket rate commissions that we're forecasting now.
Celeste Brown - Morgan Stanley: And then in terms of how deep you think the non-Chinese VIP market is and what the percentage of your VIP business is today, non-Chinese.
Bill Weidner: Well, it depends on how you define Chinese. I mean about 99.97% of our business is Chinese.
Celeste Brown - Morgan Stanley: Non-mainland, sorry.
Bill Weidner: Non-mainland, okay. Non-mainland is probably, I don't know, I couldn't hazard a guess. I don't want to pull out of my rear end. I don't think we even should guess because I don't think it's a politically correct way of describing our business.
Brad Stone: I do think this Celeste. Obviously with product coming online like we have, we have purchased two 737 aircrafts to bring junkets in from places like Thailand and Taiwan and Japan. We're well positioned to add to the current mix of our business and by the very nature of that perhaps affect the mix somewhat. We just want to be in a position to -- and whether it's Chinese, Japanese, Korean, Thailand, whatever, we want to be in a position to capture that and we're doing that through having a spectacular product, as Bill pointed out, we believe with a very fair commission rate for the junket reps themselves and for customers to come on a direct basis. And then putting behind that other assets like aircraft and stuff that facilitate ease of travel into Macao to incent that business to come to the Venetian and now that we've got room product, now that we can put those type of programs in place. And it was tough doing that when you had 51 suites at the Sands, but now we'll have 300 suites at the Sands and we'll have obviously 3000 suites at Cotai at The Venetian. We're going to be well positioned to expand beyond our local region in terms of new destinations. And we think there's a hunger for that, particularly when you surround that experience with everything The Venetian has to offer and we're going to be very supportive of junket reps in other locales to bring people into our properties.
Bill Weidner: One of the specific pledges we made to the government, and that we're fulfilling now, is their concern, what I mean by that is mainland Chinese government, that the current operators are too dependent on mainland China. And the Sands, with only 51 suites, was positioned against the current Macao market, which is heavily weighted toward Mainland China in terms of its day trip orientation. The whole idea of The Venetian and the whole idea of the Cotai Strip was to broaden Macao and make it an international destination that happens to have a part of its business all of mainland China since mainland China is right on our doorstop. But the whole concept, as Brad was explaining, was to have the convention business, the FIT business, the international tour and travel business, the businesses that reach out into other marketplaces to make Macao a destination. So, answering what's happening today wouldn't fully give rise to a discussion about why The Venetian is done the way that it is and what markets it aims at in order to broaden the base of Macao forever.
Brad Stone: I'd like to add. This is Sheldon and frankly I was getting lonely here, I thought I was out of sight out of mind. I think we want to point out, Bill, that the day trip market ends up if you divide the number of visitors we have into the number of the dollars, I think it comes to about $130 something like that. I think we can expect that somebody who gets on a plane and flies an hour or two, whether it's from Taiwan, [Kowshing] for 40 minutes, or Beijing for three hours, that they're going to bring a significantly higher budget. So, instead of looking at a couple of hundred dollar, few hundred dollar budget that a day tripper comes with because they expect they can come back in a few days or next week. These people will think they can come back less often so they'll come with a substantially higher gaming budget. And listen, we don't really know. This is what we expect, this is what Las Vegas experiences, and certainly these people will experience the same thing.
Celeste Brown - Morgan Stanley: Thank you.
Operator: Your last question comes from the line of Bill Lerner of Deutsche Bank.
Bill Lerner - Deutsche Bank: Thanks guy. Actually two questions. One, how do you think the current sort of macro credit situation impacts this ultimate sale of the retail square footage in Macao? And then, of course, other markets like Singapore, which is off further down the road. And then the follow-up is, can you just give us a sense of how July tracked the continuation of strong trends in Macao? And I'll leave it there.
Bill Weidner: We don't really comment about beyond the quarter so it's hard to give you a sense for that. I don't think it would be fair. And secondly, I guess to address your first question --
Sheldon G. Adelson: Well, what they want to know whether or not the capital markets are impacting Asia. My own opinion is that I don't think so because they're different markets, they're different -- the buyers, different lenders other there. We're not experiencing a significant reaction on our Singapore issue and Singapore financing. And listen, if it spreads to Asia then clearly there could be an impact there. But, we're talking about profit properties here and malls are not bought and sold over there like they are in the United States. And if we're correct, there should be a significant number of buyers, or whatever number buyers there are going to bid this up. There's nobody that we've talked to. We're still optimistic that we will be south of 5% cap rate, perhaps even south of 4%. But I'm not making a projection, I'm just saying that people talk numbers over there give or take 4.
Bill Lerner - Deutsche Bank: And from a demand perspective, forget about financing for a second, like I said it'll eventually take care of itself, the demand perspective in the last couple of months, or whatever the recent timeframe you want to use, no real delta in level of demand for those retail assets?
Sheldon G. Adelson: We've let it be known that we're not putting those assets on the block until after we open. So, our people haven't got back to us if they -- Bill, have you talked to Steven, has he gotten any current interest?
Bill Weidner: Well, there's always interest with drive-by and call in interest. But I think the sense is that we want to have these assets more mature so we can maximize whatever the value might be. And, quite frankly, as we've talked about before Sheldon, at our multiple of EBITDAR, if they're generating hundreds of millions of income, there maybe less need or requirement or interest in necessarily liquidating them at a particular point in time. We certainly are going to liquidate them sooner than later because they just get more valuable over time.
Bill Lerner - Deutsche Bank: Good, thanks guys.
Operator: And this concludes the Q&A portion. I would now like to turn the call back over to Mr. Bill Weidner for closing remarks.
Bill Weidner: Well, I appreciate your questions. Hopefully you appreciated our answers. And I think, again, we had an outstanding quarter and we look forward to a very exciting couple of quarters coming up. I don't know if anybody's ever opened properties of these size one quarter after another but we'll have one in Asia, a huge place, and one here in Las Vegas. So in the next six months I think it's a fundamental change to the company in terms of its anchor position in its home market, I guess you would say here in Las Vegas, and its leadership position over in Macao. So, it is certainly an exciting time for the company and I think as we open these trophy assets now that they'll be the largest place in Las Vegas by far, it's an interesting thing to talk about as you show mainland Chinese around what you do in your home marketplace. And well, I know that we have now had about six different delegations from the mainland China and other governments in the other area that have toured the building in Macao before it opens. That building is certainly a trophy communicator to other markets there in Asia. So, we're excited about what's going to happen in the next month and what's going to happen the next three or four months in terms of how the perception of the company on a global scale will change as rapidly as it will. So with that, we appreciate your attendance of our conference call today and look forward to talking to you again between now and next quarter and certainly at the end of next quarter. Thanks again for your attendance.
Operator: Thank you for your participation in today's conference. This concludes our presentation and you may now disconnect. Have a wonderful day.